Operator: Good day, and thank you for standing by. Welcome to the 2020 Bulkers Ltd. Earnings Call for Q4 2021. [Operator Instructions] Please be advised that today's conference is being recorded, Wednesday, the 26th of January 2022. [Operator Instructions]
 I'd now like to hand the conference over to your speaker today, Magnus Halvorsen. Please go ahead. 
Lars Halvorsen: Thank you, operator. Welcome, everyone, to the Fourth Quarter 2021 Earnings Conference Call for 2020 Bulkers. As usual, I'm also joined here today by our Chief Executive Officer, Mr. Vidar Hasund. 
 Before we start the presentation, I would like to remind you that we will be discussing matters that are forward-looking in nature. These forward-looking assumptions are based on the company's current views with regard to future events, which are uncertain. Actual results may differ materially.
 And with that, I'll go over to the highlights for the quarter. 2020 Bulkers generated a record net profit of $26.3 million in the fourth quarter. We maintained a track record of having been profitable every quarter since we got our first vessel in operation in the third quarter of 2019. We continue to outperform the Capesize Index during Q4, and we achieved time charter equivalent earnings of $52,900 per day. This compares to the Baltic Capesize Index, which was approximately $42,600 during the quarter. 
 For the months of October through December, we announced a total of $1.20 per share in cash distribution. This equals an annualized yield of around 45% based on yesterday's closing share price. For the year as a whole, we paid $3.18 back to shareholders, which equals around 30% of our current market cap.
 During Q4, we refinanced our bank debt, thereby extending the maturity from August 2024 to March 2027. The refinancing was done at LIBOR plus 210 basis points, down from LIBOR plus 250 basis points under the previous facility. We also extended time charter for 2 ships during the quarter. The Bulk Seoul and the Bulk Shanghai, which will continue on index-linked charters with Koch for 10 to 13 months.
 At the end of the quarter, we also announced some organizational changes. Jens Martin Jensen, resigned as a Director of the Board to pursue new ventures. The Board would like to thank Jens Martin for his contribution, having been a valuable Board member since the company was started. At the same time, as Jens resigned from the Board, I was appointed Chairman of the Board and will consequently pass on the role as CEO to Herman Billung on February 1. Herman brings decades of shipping experience, and we look forward to working with him. He will also be acting CEO of Himalaya Shipping for which 2020 Bulkers' managements have taken on a management agreement.
 Lastly, so far in the quarter, we have so far earned around $22,400 per day gross.
 And with that, I'll leave it over to Vidar. 
Vidar Hasund: Thank you, Magnus. 2020 Bulkers reports a net profit of $26.3 million for the fourth quarter of 2021. Operating profit was $28.5 million and EBITDA was $31.4 million for the quarter. Earnings per share was $1.18. Revenues were $37.7 million for the fourth quarter, and the average time charter equivalent rates was approximately $52,900 per day gross.
 Vessel operating expenses were $4.8 million in the fourth quarter, which includes approximately $0.6 million in COVID-19-related costs and $0.15 million in additional insurance deductible for the Bulk Shenzhen incident. Average operating expenses per ship per day was approximately $6,600. G&A for the fourth quarter was $0.9 million, and include approximately $0.1 million in legal fees incurred in connection with refinancing of the term loan facility.
 Interest expense was $2.3 million in the fourth quarter. Shareholders' equity was $151.7 million at the end of the quarter. And interest-bearing debt decreased from $239 million at the end of the third quarter to $236.1 million at the end of the fourth quarter, reflecting scheduled repayments.
 The company reports cash flow from operations of $26.8 million for the fourth quarter. Cash and cash equivalents were $24 million at the end of the quarter. The company declared total cash distributions to shareholders of $1.20 per share for the months of October, November, and December 2021.
 That completes the financial section. And now back to you, Magnus. 
Lars Halvorsen: As you know, 2020 Bulkers has a policy to pay out free cash flow to shareholders on a monthly basis. We have returned free cash to shareholders for 18 consecutive months, which is every month since we got our full fleet delivered. 
 The Q4 dividends and cash distributions of $1.20 equals approximately 4% to 5% annualized yield compared to our current market cap. And for the year as a whole, we paid out $3.18 per share, approximately 30% of our current market cap.
 With the fleet that's just 2 years old on average, we have to date returned 57% of total paid-in equity back to our shareholders. For 2022, we remain constructive on the market, and we are so far fully spot exposed through index-linked charters. The current FFA curve implies a free cash flow of around NOK 18 per share as an indication.
 It's also worth noting that this slide illustrates how we are generating cash flow available for distribution as long as the Capesize market is above $10,000 per day with all our ships on index-linked charters. We believe this is highly competitive and shows the attractive risk/reward and low cash breakeven in our company.
 As you can see from this slide, the Capesize market is showing its regular pattern of a softer Q1. Keep in mind for comparison that January last year was affected by heavy congestion in China related to waiting time caused by Icy conditions, which had a positive impact on the market. The seasonal weakness this year is also accelerated by wetter-than-usual rainy season in Brazil. In spite of the wet conditions, Vale has reiterated their guidance for the year, which means we can expect a significant uptick in volumes later in the year as the rainy season ends.
 The second half of 2021 showed a sharp drop in Chinese steel production with production down 16% from the level seen in the first half. We did, however, see a strong uptick in December production to 86 million tons, up from 69 million tons in November. Market analysts expect flat Chinese steel production in 2022 and which would imply average production in 2022, approximately 9.5% above the levels seen in the second half of the year.
 In addition to an overall correction in the Chinese economy, and in the property sector in particular, we believe that the drop in steel production seen during the latter part of 2021 was also partially caused by the energy shortage in China as well as their desire to reduce pollution ahead of the Olympics.
 It's interesting to note that the ongoing production cuts in 28 cities are scheduled to end on March 15, which is 2 days after the end of the Paralympics.
 In addition, we also see clear signs of new wave of stimulus aimed at infrastructure spending as well as the property sector. We'll get back to this on some subsequent slides. 
 In spite of the correction in the Chinese economy, steel inventories did not build materially. Here, you can see the Chinese rebar inventories, which were only 3% above the levels seen at the same time last year. Steel prices were also holding up relatively firmly with rebar prices 13% higher than the same time last year.
 Taking a look at the steel market, we see that the World Steel Association expects steel demand to grow by 2.2% this year globally. This is what China assumed to pause flat steel demand, meaning the rest of the world is showing growth rates around 4%.
 Total exports of iron ore globally was up 4% in 2021 compared to 2020. This is in spite of China showing contraction of 4%. We believe this suggests that the rest of the world is taking over from China as the main growth driver on the demand side, in line with the steel demand estimates we just reviewed on the previous slides. Chinese inventories did show growth during Q4, but it seemed to have flattened out recently.
 One of the big surprises to the market last year was the strong growth in coal volumes. We don't typically transport coal. In fact, it's been only around 5% of our cargo since we started. However, we compete with standard Capesize to transport a lot of coal. Coal volumes were up 7% year-on-year in 2021. We start to the year in 2022 has been somewhat slower, mainly driven by the export restrictions in Indonesia. If anything, these restrictions highlight the ongoing energy crisis and the need for coal in the energy mix. And we believe this underscores the fact that although we all want the world to gravitate towards cleaner energy sources, coal probably has an important role to play in many years ahead. In China, in particular, it's estimated that the 150 gigawatts of new coal-fired power will be built between 2021 and 2025. As you can see from the 2 last graphs on this page, coal inventories are still low in a historical perspective in both China and India.
 As mentioned earlier, we are seeing increased evidence of a new wave of stimulus in China. We saw a strong uptick in the issuance of local special infrastructure bonds during the second half with CNY 2.6 trillion issued up from CNY 1.1 trillion in the first half. Typically, we would expect a few months lag before these translate into increased infrastructure investments.
 As you can see on the right-hand side, December marked the first month of year-on-year growth in China fixed asset infrastructure investment since April last year. This could be an early sign that the stimulus is starting to take effect.
 As mentioned previously, the second half of '21 showed a marked slowdown in the Chinese property sector. However, December showed an increase in sale of commercial and residential buildings with the highest sales in 6 months. Commercial building sales were 40% above the levels seen in November.
 We continue to believe that the supply side dynamics are the most attractive seen in this market for more than 30 years. The Capesize order book is around the lowest level seen in 3 decades with the order book sitting around 7% of the existing fleet.
 Capesize ordering last year was low. And given the recent ordering in the container space over the last year, there's very little yard capacity available for new orders before 2025. In fact, we only believe Chinese yards are marketing approximately 5 Capesize and Newcastlemax slots remaining in 2024, which is obviously very modest given the total fleet size of almost 1,700 ships. Deliveries for Capesize and larger vessels will drop to approximately 10 million deadweight tons this year, down from 18 million last year, and 25% the year before.
 Lastly, in spite of strong markets in 2021, we still saw around 3.7 million deadweight tons of Capesize being scrapped.
 As mentioned on previous earnings calls, there are new environmental regulations coming up. EEXI and CII will come into effect on January '23, and  we believe they will overall lead to slow down in average trading speeds, effectively reducing supply. It's hard to estimate how much, but we know that our ships at least are future-proof for many years ahead. As we've also mentioned before, the ABS has estimated that our fleet is in the top 8% percentile of large bulkers on the water.
 Lastly, I'll give you a quick summary of what we view the investment case in 2020 Bulkers to be. We have a modern fleet of 8 Newcastlemax with an average age of 2 years. Our cash breakeven budget for the year is $14,900 per day. This also includes approximately $300 per day in buffer related to COVID-related expenses.
 As of today, we have 8 vessels on index-linked time charters, where we also get the scrubber profit shares. All of these index-linked charters can be converted to fixed rates on the basis of the prevailing FFA curve. The FFA curve implies time charter equivalent earnings for a scrubber fitted of Newcastlemax of approximately $33,000 per day for the balance of 2022. Free cash flow is being paid out on a monthly basis and we'll continue to do so.
 And lastly, in terms of the market, we see the most favorable supply side dynamics in more than 30 years and very little that can happen to change that in the coming years given the very scarce yard capacity. Additionally, we have some optimism that the new wave of stimulus in China will lead to a pickup in infrastructure investments there.
 And with that, I'll leave it over to the operator for questions. 
Operator: [Operator Instructions] And your first question comes from the line of Frode Morkedal from Clarksons. 
Frode Morkedal: Yes. Thank you. Just curious on, how important is the Winter Olympics in China in terms of the rate decline you've seen and what the potential after the Olympics in your view? 
Lars Halvorsen: It's a good question and as many things are China related. It's impossible to give a firm answer. But what we know is there has been a focus for China to reduce pollution ahead of the Olympics. And if you look I thought we know as a fact which is the production curve currently in place in 28 cities. We know that, that is scheduled to end as far as I know, on March 15, which is 2 days after the Paralympics. And so I would say it's likely there is a relationship there.
 When it comes to the market and the Q1 weakness as you alluded to, I think we should keep in mind that if you go back and look in history, I mean, Q1 is almost always a weaker seasonal quarter in our market. And it's quite easy to rationalize. You have typically a rainy season in Brazil, which reduces exports. That's definitely the case this year. I think we've had some periods, record rainfalls in Minas Gerais.
 You also have for Australia, and I guess we're getting into peak cyclone season, which, from time to time, can create some disruptions. And then overall, industrial production, particularly in the Northern Hemisphere tend to be lower. 
 So there's nothing unusual about a weak Q1. I think last year, everyone was caught by surprise by the strength in Q1. I think to me, at least, the biggest surprise that happened then was we had the La Nina winter, which created very cold weather in Northern China, and you had periods with minus 10 degrees or more, where a lot of ice was created, and I think we had ships laying more than 30 days waiting to discharge. I think there's a La Nina season in place this year, but it's not as cold we're not seeing that effect this year. 
Frode Morkedal: Okay. That's good color. In terms of -- I mean, you had some good graphs on China there. I mean, would you expect that Chinese iron ore imports would grow this year? And what's your outlook on, let's say, the global iron ore trades for this year? 
Lars Halvorsen: Well, I think we are quite encouraged by some of this data that we showed. I mean I think you've seen for many years, China having this pattern of stimulating or giving credit support and then you see the effect and then they step back for a bit. It's probably something one should have picked up earlier. But as you see from one of the graphs, looking at the special bonds, local, special infrastructure bonds, there was very little issuance in first half relative to the second half. And it's only a month, it's only one data point, but it's interesting to see that December figure with fixed asset infrastructure investments picking up year-on-year for the first time. 
 There's obviously a lot of negative headlines a narrative on the property market. Again, it's only a data point, but we saw that commercial property sales in December were stronger than they had been in 6 months. Know that China has cut the reserve requirement ratios and there seems to be a sort of general attitude of loosening again.
 And I think also some of the weakness we saw in steel production towards the second half of last year was also related to the energy crisis. We obviously have quite close contact with some shipyards, and we know that a lot of the heavy industry for periods during Q4, we're only operating 5 days against normally being allowed to be operating for 7 days. I think that's also probably why you saw some build in iron ore inventories. But at least if you believe, I guess, the analysts that we follow who essentially think China will be flat on steel demand next year, that flat steel demand because the second half of '21 was so weak, would imply, I think, I said, around 9% uptick in steel production. So we do expect resurgence that will start getting into those inventories. And I think that will also be supporting imports.
 But I think it's interesting to note as well, I mean, China is half of global steel demand. So of course, you are extremely focused on what happens there. But in spite of China growing -- No, sorry, China contracting on iron ore imports, you saw growth in overall global volumes. And I think that shows you that the rest of the world is accelerating to some degree. And I think if we kind of look back this post initial COVID outbreaks, China came with -- they were the first to come with stimulus. Of course, they are very synchronized and well-organized economy. So when the government decides to stimulate, you see projects being continue to work very quickly. I think in the Western part of the world, there's been a lot of stimulus initiatives initiated, but you don't have the same ability to move on shovel-ready projects right away. So I think that supported the world ex China might be a little bit slower burning, but it should be there to support over the next couple of years. 
Frode Morkedal: Yes, right. Okay. So it seems like you're quite optimistic about the outlook. So my final question is really about how do you see -- how would you play the 2022, right? I mean you are quite open, so to speak, in terms of you have higher reliance on the spot- or index-linked, how would you -- would you consider time charter exposure or fixed contract coverage? Yes, what's your outlook there? 
Lars Halvorsen: No. I think we are positive on the market. And I think I'll just -- to summarize, we're entering a period with very low supply growth. We do believe that you will see some recovery in steel demand as we get further out towards the second quarter onwards, which is why we want higher spot exposure. That being said, I mean, we manage the risk very carefully, and I think we've shown that historically. And I think that's a nice thing about our charters is we have the ability to convert them. So we literally monitor this day by day and look at the portfolio construction.
 The good thing now is although spot has been quite depressed recently, the FFA curve is quite supportive. So looking from February through December, standard Capesize curve is above $22,000 a day, which means we could do conversions let's say, around [indiscernible], and then you get the scrubber benefit on top of that. So we have that put, if you will, if we want to secure some near-term cash flow or, I guess, lock in some cash flow through the year or then implicitly reducing our cash breakeven for the remaining ship. So that's something we look at.
 So we  would like to be quite exposed to the market the way we're reading it right now. But you've also seen us in previous years taking some cover at points in time. So yes, we're keeping an eye on it and do expect that we have an active approach to it. 
Operator: [Operator Instructions] Your next question comes from the line of [ Kim Mullins ] from [ Balu Investment ]. 
Unknown Analyst: Congratulations for this quarter. Following up on the latest question, I was wondering if you could provide some additional commentary on the levels you'd be willing to fix some vessels for 2022? Because like for your commentary, it sounds like you're more bullish than what current FFA curve in place. So could you provide some additional commentary on that? 
Lars Halvorsen: Yes. I'm not going to give you [ equivalence ] say this is the rate where we will fix because that varies though, we also follow the development in the market. We have a market here today and we, of course, follow as things change. But I think what's important for us is to maintain dividend capacity. So we will kind of always look to that. And if you see us converting 1 or 2 ships, it's not necessarily going to be reflecting that we think this is the peak or this is where we think the market will be for the year. It's as buying insurance, if you will, as well.
 So all I can say is we think about risk, and we've shown that both ways historically. I mean, we -- when COVID hit, we came into the year with 6 ships open, and we decided to take coverage, and that meant within location for any quarter that year, that was a defensive mode or buying insurance, if you will. Last year, we -- because we did a little bit earlier in the year to secure some cash and lower the cash breakeven on the 6 ships. And then towards the end of the year when rates are really, really good, we locked in those rates. So we use it as a risk management tool, but I can't give you a rate and say this is the rate that we would lock in for the rest of the year. 
Unknown Analyst: Understand. Thanks for the color. And regarding the recent financing of the term loan facility, you managed to lower the interest margin by 40 basis points. And I was wondering if you could provide some commentary on the sale and leaseback financing in place for the Seoul and Shanghai, especially regarding the purchase options you hold and when are those [ occur sizeable ]? 
Lars Halvorsen: Yes. So the Bulk Shanghai financing is done at -- were done at the time of delivery at LIBOR plus 450 basis points. 18.5-year amortization profile -- sorry, 17.5. And when it comes to the purchase options, we have options to purchase at our option starting in October, November 2024 for $30 million, and then that steps down gradually every year. We also have the ability to break the lease. If we sell the ship, we are free to sell the ship to a third party. So yes, I think that answers your question. 
Unknown Analyst: It does. It does. And congratulations again for this quarter. 
Operator: There seems to be no further questions at this time. Please continue. 
Lars Halvorsen: Okay. Now, I think then we'll just take thank everyone for dialing in, and just reach out if you have any questions. And one thing I forgot to say, I think I said on the last call, we get questions from time to time from people who ask where can we follow the Baltic rates and the index. We have a Twitter account, 2020 Bulkers, where we put out daily reports. So I think that's something we do to create transparency for people to see what the index is relative to the premiums that we have.
 And with that, I'll say thank you. Thank you for the call. 
Operator: That concludes today's conference call. Thank you all for participating. You may now disconnect.